Matthew Roskot: Thank you, Brian. Good morning everyone and thank you for joining our First Quarter 2018 Combined Earnings Conference Call for NextEra Energy and NextEra Energy Partners. With me this morning are Jim Robo, Chairman and Chief Executive Officer of NextEra Energy; John Ketchum, Executive Vice President and Chief Financial Officer of NextEra Energy; Armando Pimentel, President and Chief Executive Officer of NextEra Energy Resources; and Mark Hickson, Executive Vice President of NextEra Energy, all of whom are also officers of NextEra Energy Partners; as well as Eric Silagy, President and Chief Executive Officer of Florida Power & Light Company. John will provide an overview of our results and our executive team will then be available to answer your questions. We will be making forward-looking statements during this call based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements, if any of our key assumptions are incorrect or because of other factors discussed in today’s earnings news release, in the comments made during this conference call, in the Risk Factors section of the accompanying presentation or on our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our websites, nexteraenergy.com and nexteraenergypartners.com. We do not undertake any duty to update any forward-looking statements. Today’s presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today’s presentation for definitional information and reconciliations of historical non-GAAP measures to the closest GAAP financial measure. With that, I will turn the call over to John.
John Ketchum: Thank you, Matt, and good morning everyone. NextEra Energy delivered strong first quarter results and is off to a solid start towards meetings its objective for the year. Adjusted earnings per share increased almost 11% against the prior year comparable quarter, reflecting successful performance at both Florida Power & Light and Energy Resources. FPL increased earnings per share $0.07 from the prior year comparable period, regulatory capital employee grew approximately 12.9% year-over-year and all of our major capital initiatives remain on track. During the quarter FPL successfully commissioned nearly 600 MW of cost-effective solar projects under the Solar Base Rate Adjustment or SoBRA mechanism of our settlement agreement as well as the largest combine solar-plus-storage project in operation in the United States. Additionally, the Florida Public Service Commission unanimously approved FPL's petition for determination of need for the Dania Beach Clean Energy Center, further advancing the roughly 1200 MW project through the regulatory approval process. FPL continued to deliver on its best-in-class customer value proposition of low bills, high reliability, and outstanding customer service. As announced on our last call, FPL was able to pass the benefits of tax reform back to customers immediately by foregoing recovery of the $1.3 billion in surcharges related to Hurricane Irma and as a result the average 1,000 KW residential bill was reduced by $3.35 per month beginning March 1st as the surcharge related to Hurricane Matthew rolled off. FPL's typical residential bill is now nearly 30% below the national average and the lowest among all of the Florida IOUs. Our ongoing efforts to invest in a stronger and smarter grid to further improve the already outstanding efficiency and reliability of our system resulted in FPL delivering its best ever service reliability in 2017, ranking it among the top of all major utility companies in Florida. At Energy Resources, the lower federal income tax rate and increased contributions from our repowered wind projects helped drive growth for the quarter. Consistent with what we had previously characterized as the best renewables development period Energy Resources history, we had one of our most successful quarters of new wind and solar generation origination adding more than 1,000 MW of projects to our backlog. We are also pleased with the progress of our natural gas pipeline development efforts with NWP commencing construction and announcing its first expansion opportunity of the mainline pipe which I will discuss in more detail in a moment. At this early point in the year, we are very pleased with our progress at both FPL and Energy Resources. Now, let's look at the detailed results beginning with FPL. For the first quarter of 2018, FPL reported net income of $484 million or $1.02 per share. Earnings per share increased $0.07 or approximately 7% year-over-year. As a reminder, rather than seek recovery from customers of the approximately $1.3 billion in Hurricane Irma storm restoration cost, FPL plans to recover these costs through federal tax savings generated during its current settlement agreement. During the fourth quarter of 2017, FPL utilized its remaining available reserve amortization to offset nearly all of the expenses associated with the write-off of the regulatory asset related to Irma cost recovery ended the year with the zero dollar reserve amortization balance. Consistent with our expectations, the tax savings generated during the first quarter did not fully offset the reserve amortization required to achieve our target regulatory ROE of 11.6%. As a result, our reported ROE for regulatory purposes will be approximately 11.2% for the 12 months ended March 2018. This is above the ROE expectations we shared on our fourth quarter earnings conference call and is due to warmer-than-normal weather and reduced O&M expenses driven by our continued focus on cost management. After a strong quarter, we now expect FPL to achieve its target regulatory ROE of 11.6% either late in the second quarter or early in the third quarter on a trailing 12 months basis and subject to the usual caveats. Based upon our weather normalized sales forecast and current CapEx and O&M expectations, we expect to begin partially restoring the reserve amortization balance through tax savings later this year and continuing to expect that FPL will end 2020 with the sufficient amount of surplus to potentially avoid the base rate increase for up to two additional years. Operating under the current base rate settlement agreement would create further customer benefits by potentially avoiding at base rate increase in 2021 and 2022. The Florida Public Service Commission has open separate dockets to address tax reform for each of Florida investor-owned utilities including FPL. We expect hearings to recur in August of this year and look forward to working with the FPSC and other interested parties to further explain how FPL's prompt actions within the terms of settlement agreement benefit customers. Regulatory capital employee grew approximately 12.9% year-over-year in all of our major capital initiatives remain on track. As a reminder, due to the tax reform, FPL will no longer take bonus depreciation of future investments, which is expected to results in an increase to investor sources of capital as the contribution from the accumulated deferred income taxes decreases overtime. Therefore beginning this quarter, our presentation of FPL regulatory capital employee is net of accumulated deferred income taxes, which is treated as zero cost equity in our capital structure, as this more appropriately reflects the growth in FPL's earnings. In the Appendix of today’s presentation, we have provided a reconciliation of our historical numbers to revise methodology. Turning to our development efforts, all of our major capital projects at FPL are progressing well. FPL's capital expenditures were approximately $1.2 billion in the quarter and we expect our full year capital investments to be between $4.9 billion and $5.3 billion. Adding to the nearly 300 MW of solar projects that were placed in service in January, during the quarter we were pleased to complete construction on schedule and under budget of the next 474.5 MW solar energy centers developed under the SoBRA mechanism of the rate case settlement agreement. The eight solar plant that entered in the service in 2018 are projected to generate more than $100 million in total savings for FPL customers during their operating lifetime. FPL's 10-year site plan that was filed with the Public Service Commission earlier this month included plans for more than 3,200 MW of additional solar projects across Florida over the coming years, including the approximately 600 MW that remained under the SoBRA mechanism of our settlement agreement. The support will continue to be one of the largest ever solar expansions in the U.S. FPL has already secured almost 6 GW of potential sites. During the quarter, we also deployed the first two projects under FPL's 50 MW battery storage pilot program, paring battery systems with existing solar projects. A 4 MW battery system with 16 MW hours of storage capacity was deployed at the Citrus solar energy center, representing the first large scale application of DC coupled batteries at a solar plant in the U.S. and enabling the facility to deliver more energy to FPL's grid. Additionally, FPL installed the 10 MW battery project with 40 MW hours of storage capacity at the Babcock Ranch Solar Energy Center creating the country's largest combined solar plus storage project currently in operation and highlighting FPL's innovative approach to further enhance the diversity of its clean energy solutions for customers. FPL will install additional battery storage projects to further enhance the reliability and efficiency of its system and to position FPL for future deployments as battery cost continued to decline over the coming years. Construction on the approximately 1,750 MW Okeechobee Clean Energy Center remains on schedule and on budget. As I previously mentioned, in March, the Florida Public Service Commission granted the determination of need for the Dania Beach Clean Energy Center. The approximately $900 million project is expected to begin operation in 2022 and generate nearly $350 million in net cost savings for FPL customers while reducing air emissions by roughly 70% compared to the existing power plant. We continue to make significant progress with FPL's purchase of substantially all the assets of the City of Vero Beach's Municipal Electric System, receiving approval for the transaction from the Orlando Utilities Commission and all 19 member cities on the FMPA Board. The transaction is now undergoing FPSC review, pending commission approval this transaction will represent what we believe is the first privatization of a vertically integrated electric municipal utility in the United States in more than 25 years and is reflective of FPL's collaborative efforts with the city, local and regional leaders as well as other state authorities to benefit Vero Beach's more than 34,000 customers with FPL's best in class value proposition. FPL's continued smart investment opportunities are expected to support the compound annual growth rate in regulatory capital employed of approximately 9% from the start of the settlement agreement in January 2017 through at least December 2021 while further benefiting our customers. This compound annual growth rate is higher than we had previously discussed as it now is net of declining contribution from accumulated deferred income taxes for the reasons I mentioned earlier, which more appropriately reflects the growth in FPL's earnings. The Florida economy continues to show healthy results and is among the strongest in the nation. The current unemployment rate of 3.9% is near the lowest levels in a decade and remains below the national average. The real estate sector continues to grow with average building permits in the Case-Shiller index for South Florida, up 7.4% and 3.8% respectively, versus the prior year. Florida's consumer confidence level also remains near a 10-year high. FPL's first quarter retail sales increased 2.9% from the prior year comparable period, and we estimate that approximately 1.3% of this amount can be attributed to weather-related usage per customer. On a weather normalized basis, first quarter sales increased 1.6% with continued customer growth and an estimated 0.7% increase in weather normalized usage per customer both contributing favorably. While the growth in underlying usage is a reversal from the trend in recent quarters as we have often discussed, this measure can be volatile on a quarterly basis. We will continue to closely monitor and analyze underlying usage and we’ll update you on future calls. Let me now turn to Energy Resources which reported first quarter 2018 GAAP earnings of $3.926 billion or $8.26 per share and adjusted earnings of $386 million or $0.81 per share. This quarter’s GAAP results reflect certain impacts that I would like to take a moment to summarize. As we have previously discussed due to the increase government rights that were granted to NEP's LP unitholders, NEP was deconsolidated from NextEra Energy financial statements beginning in January 2018. NextEra Energy now accounts for its investment in NEP on the equity method of accounting and as a result of this change recognizing approximately $3 billion after tax gain or $6.32 per share during the first quarter of 2018 from according its investment in NEP at fair value. The projects owned by NEP will continue to provide value to NextEra Energy over their operating lives through NextEra Energy's continued investment in NEP. Accordingly, NextEra Energy will exclude this initial gain from adjusted earnings and realize that as a related project provided an economic benefit to Energy Resources, which offset the higher depreciation and amortization resulting from according the investment in NEP at fair value. Beyond deconsolidation in the first quarter of 2018, Energy Resources re-measured its tax equity arrangements or differential membership interest resulting in a net after-tax gain of $484 million to reflect the impact of the newly enacted tax rate. Since its re-measurement is not expected to have an economic impact on our underlying tax equity transactions, we are excluding these tax reform related impacts from adjusted earnings and reflecting the benefit over the original term, which we believe better reflect the economic substance of the transactions. Additional detail on these and other changes are included in the Appendix of today’s presentation. Energy Resources contribution to adjusted earnings per share increased by $0.05 to roughly 7% from last year’s comparable quarter with approximately 1,600 MW of repowered wind projects being commissioned in 2017, contribution from existing generation assets increased by $0.06 per share primarily as a result of increase of PTC volumes from these repower projects. Contributions from new investments declined by $0.17 per share as the prior comparable quarter benefited from the timing of tax incentives of certain projects. For the full year, we expect contributions from new investments to be slightly positive. Contribution from our gas infrastructure business including existing pipelines increased by $0.06 year-over-year, as expected the reduction in the corporate federal income tax rate was accretive to Energy Resources increase in adjusted EPS by $0.12 compared to 2017. All other items decreased results by $0.02 per share. Additional details are shown on the accompany slide. As I mentioned earlier, the Energy Resources development team continues to capitalize what we believe is the best renewables development environment in our history adding 667 MW of new wind projects and 334 MW of new solar projects to our backlog since last call. All of these 1,001 MW added to backlog 34 MW of the solar projects and 247 MW of the wind project are for delivery this year. The company chart updates information we provided on last quarter's call, but our overall expectations have not changed. For 2019 and 2020, we are now within the range of expectations that we have provided for solar and for U.S. wind our current backlog is more than half of the low-end of our expected range. We continue to track well against the total development forecast for 2017 through 2020 that we shared at our investor conference last year and with returns on Energy Resources renewables projects consistent with what we have previously shared, our backlog continues to track against the assumptions supporting our previously announced financial expectations. One of the best quarters of new renewables origination in our history is a reflection of the increasingly strong economic demand for wind and solar, which will continue to benefit from additional retirement of coal, nuclear, and less fuel efficient oil and gas fired generating units, creating significant opportunities for renewables growth going forward. Combined with our competitive advantages in renewable development, we expect this will help drive well into the next decade building on the nearly 300 MW of renewables projects, we have already signed for beyond 2020. In addition to the progress we made with battery storage projects at FPL, yesterday Energy Resources commissioned its first solar plus storage project. These projects represent the beginning of the next phase of renewable deployment that pairs low cost wind and solar energy with a low cost battery storage solution to provide a product that could be dispatched with enough certainty to meet customer needs for nearly firm generation resource all at a lower cost that that required to operate traditional inefficient generation resources. Beyond renewable, we were pleased to begin construction on the Mountain Valley Pipeline during the first quarter and we continue to expect the December 2018 in-service date. Earlier this month with project partner EQT Corporation, we also announced the MVP Southgate project, a proposed expansion pipeline that will receive gas from the MVP mainline in Virginia and extend south to new delivery points in central North Carolina. The project, which is anchored by a firm capacity commitment from PSMC Energy, commenced a binding open season in order to provide additional market participants and opportunities to subscribe to the project. As currently designed, the project has a targeted in service date of the fourth quarter 2020, subject to FERC and other regulatory approvals. We look forward to providing additional details following evaluation of the open season results. Turning now to the consolidated results for NextEra Energy for the first quarter of 2018, GAAP net income attributable to NextEra Energy was $4.428 billion or $9.32 per share. NextEra Energy's 2018 first quarter adjusted earnings and adjusted EPS were $919 million at $1.94 per share, respectively. Adjusted earnings from the corporate and other segment increased seven cents per share, compared to the first quarter of 2017 primarily due to certain favorable tax items and lower interest expense. Based on our first quarter performance at NextEra Energy, we remain comfortable with the expectations we have previously discussed for the full year and will continue to target the 770 midpoint of our adjusted EPS range. Longer term, we continue to expect NextEra Energy's adjusted compound annual growth rate to be in a range of 6% to 8% through 2021 off our 2018 expectation of $7.70 per share, all subject to our usual caveats. We continue to believe that we have one of the best growth opportunity sets in our industry and we will be disappointed if we are not able to deliver financial results at or near the top end of our 6% to 8% range through 2021. Operating cash flow is expected to grow roughly in line with our adjusted EPS compound annual growth rate range from 2018 through 2021. As we announced in February, the Board of NextEra Energy approved a two-year extension of the existing dividend policy of targeting 12% to 14% annual growth in dividends per share. This extension is expected to result in a growth rate in dividends per share of 12% to 14% per year through at least 2020, off the 2017 base of $3.93 per share. The Board's extension of this policy reflects the continued strength of adjusted earnings and operating cash flow growth at NextEra Energy. With a payout ratio of only 59% at the end of 2017 below the peer average of roughly 55% and one of the strongest balance sheets in our sector, we remain well positioned to support the dividend policy going forward. Similar to the recent recognition of NextEra Energy's enhanced business risk profile by S&P and Moody's, earlier this month, Fitch announced that it was widening its sustained FFO adjusted leverage thresholds from 3.5 times to 3.75 time to 4 times to 4.25 times. At our current rating agency thresholds, we expect to have $5 billion to $7 billion of excess balance sheet capacity through 2021. We continue to expect that it’s a regulated contribution to our business mix improved to roughly 70% that we would receive a further reduction to our current rating agency thresholds from S&P and Moody's creating additional balance sheet capacity. As a reminder, our excess balance sheet capacity serves as a cushion as its utilization is not currently assumed in our financial expectations. In summary, after a strong start to the year, we continue to remain as enthusiastic as ever about NextEra Energys future prospects. At FPL, we continue to focus on delivering our best-in-class customer value proposition through operational cost effectiveness, productivity and making smart long-term investments to further improve the quality, reliability, and efficiency of everything we do. Energy Resources maintained significant competitive advantages to capitalize on the expanding market for renewables development and continues to make strong progress on its natural gas pipeline development and construction efforts. With the strength of our credit ratings and significant balance sheet capacity NextEra Energy is uniquely positioned to drive long-term shareholder value. We remain intensely focused on execution and on extending our long-term track record of delivering value to shareholders. Let me now turn to NEP. NextEra Energy Partners is also off to a strong start to 2018 with significant year-over-year growth in both adjusted EBITDA and cash available for distribution, reflecting new asset additions during 2017 and outstanding underlying performance of the portfolio. Yesterday, the NEP board declared a quarterly distribution of $.42 per common unit or $1.8 per common unit on an annualized basis up 15% from the year earlier. Earlier this month, NEP announced the sale of its Canadian portfolio of wind and solar projects to Canada Pension Plan Investment Board. The transaction which was completed at an attractive 10-year average cap yield of 6.6% including the net present value of the O&M origination fee highlights the significant underlying value of NEPs portfolio and is expected to be accretive to long-term growth as I will discuss more in a moment. We continue to expect the NEP will have no need to sell common equity until 2020 at the earliest other the modest issuances under the ATM program and have taken further steps to enhance our financing flexibility by opportunistically hedging our exposure to future interest rate volatility. Overall, we are pleased with the strong start to 2018 and will remain focus on continuing the success going forward. As I just mentioned at the end of March NEP entered into a definitive agreement with CPPIB for the sale of the 396 MW Canada wind and solar portfolio. Total consideration for the portfolio is approximately $582 million included the net present value of LNM origination fee, subject to customary working capital and other adjustment plus the assumption by the purchaser of approximately $689 million and existing debt. The foreign currency exchange rate has been hedged for the transaction which is expected to close in the second quarter of this year subject to receive a regulatory approvals and satisfaction of customary closing conditions. When the agreement was executed in the first quarter, it accelerated payment by Energy Resources to NEP of an approximately $30 million note receivable which was acquired by NEP with the Jerica Wind Project. This note receivable is not included in the sales in the CPPIB. The sale price of portfolio represents an attractive 10-year average cap deal of 6.6% inclusive of the net present value of the O&M origination fee highlighted an underlying value of NEPs renewable assets. We expect to be able to accretively redeploy the proceeds in the higher yielding U.S. acquisitions from Energy Resources of third party to support NEP's long-term growth. With the lower effective corporate tax rate and a longer tax yield in the U.S. versus Canada, NEP can retain more can available for distribution in the future for every $1 invested into the U.S. assets which intern as expected to provide a longer runway for FPL -- for limited partner distribution growth. As a result, today we are pleased to announced that we are extending our financial expectation for NEP another year as we see 12% to 15% per year growth and per unit distributions as a reasonable range of expectations through at least 2023. Let me now review the detail results for NEP, which reflect the outstanding operational and financial performance for the quarter. Included in the benefit from the acceleration of the Jerica note receivables that I just described, first quarter adjusted EBITDA was $258 million and cash available for distribution was $95 million, up roughly 52% and 138% respectively against the prior year comparable quarter. Excluding the impact of this payment, growth remains very strong with adjusted EBITDA and cash available for distribution increasing approximately 34% and 63% respectively year-over-year. Contributions from portfolio acquisitions were the principal driver of growth. New projects added $49 million of adjusted EBITDA and $32 million of cash available for distribution, existing projects also contributed favorably primarily as a result of contracting activity of one of the Texas pipelines. For the NEP portfolio, wind resource was also favorable at 105% of the long-term average versus 99% in the first quarter of 2017. Cash available for distribution reflects $17 million of higher debt service due to the timing of payments related to the senior unsecured notes that were issued in the third quarter of last year. As a reminder, these results are net of IDR fees since we treat these as an operating expense. Additional details are shown on the accompanying slide. NEP's portfolio of long-dated amortizing project level debt helps limit interest rate exposure. During the quarter, we were pleased to further mitigate potential interest rate volatility and enhance NEP significant financing flexibility with a $5 billion interest rate hedge agreement. Under the agreement at any date until March 26, 2028, NEP has the flexibility to effectively enter into a 10-year interest rate swap at a fixed rate of 3.192% in any amount up to the $5 billion total. Any unutilized balance as of March 26, 2028, will be cash settled hedging rates at that time through 2038. The swap which is reflective of the long-term approach, we continue to take with NEP together with amortizing project level debt will help limit interest rate exposure going forward and is expected to help maintain NEP's relative cost of capital advantage compared to MLP's and other yieldcos. NextEra Energy Partners continues to expect that December 31, 2018 run rate for adjusted EBITDA of 1 billion to $1.15 billion and cap fee of $360 million to $400 million, reflecting calendar year 2019 expectations for the forecasted portfolio at year-end 2018. As I just mentioned from the base of our fourth quarter 2017 distribution per common unit at an annualized rate of a $1.62, we now see 12% to 15% per year growth in LP distributions as being a reasonable range of expectations through at least 2023 subject to our usual caveats. As a result, we expect the annualized rate of the fourth quarter 2018 distribution that is payable in February 2019 to be in a range of a $1.81 to a $1.86 per common unit. We are pleased with NEP strong start to 2018. We believe NEP continues to provide the best-in-class investor value proposition with the flexibility to grow in three ways, acquiring assets from Energy Resources organically or acquiring assets from other third parties. NEP's cost to capital and access to capital advantages which have even further improved relative to other yieldcos in MLPs, position NEP well to support its growth going forward. These advantages combined with the stability of NEP's long-term contracted cash flows backed by strong counterparty credit, favorable tax position and enhanced governance rights leave NEP well-positioned to meet its long term financial expectations and enhance unitholder value. That concludes our prepared remarks. And with that, we will now open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Julien Dumoulin-Smith with Bank of America. Please go ahead.
Julien Dumoulin-Smith: So I just wanted to follow up a little bit, clearly, there has been a lot of discussion out in the marketplace of lat. I am just curious. First, with respect to your balance sheet, can you elaborate a little bit more and perhaps define more precisely the additional balance sheet latitude that you alluded to from the rating agencies? And then perhaps to the extent to which you can elaborate on acquisition, how do you think about utilizing that additional latitude? Do you think about maintaining a buffer even in a pro forma any kind of acquisition? Effectively, how much is this new dry powder or the cumulative dry powder that you have?
John Ketchum: Yes. So, essentially, the $5 billion to $7 billion results from taking our downgrade threshold metric with S&P to 23%. And what we have said is that we have more latitude, if we are further able to improve our regulated business mix. So, depending on the size of the potential opportunity, if we add more regulated business mix that gets us close to 70% regulated. That gives us an opportunity to move from 23% down to a lower amount with S&P and to also further improve on our current downgrade threshold metric with Moody's, which is currently at 20%. I’m not right now going to frame, how much excess balance sheet capacity that actually creates for us, but needless to say it will provide more than an ample buffer going forward.
Jim Robo: Julien, this is Jim. The one thing I would add to that is, I think you asked, how close to the threshold would we ever run the business, given an acquisition and I think two things about that. One is that we would never do anything that isn't accretive and doesn't make sense. And we have been very disciplined about this, and we will continue to be disciplined. And then secondly, we value strong balance sheet and our strong credit ratings, and we are not going to do anything that puts that at risk and which would include I think, and I think you're seeing some of the implications of that in good playing out in the sector of this year with, as a result of kind of unexpected cash flow impacts, as a result of tax reform folks had -- there has been some equity pressure and some balance sheet pressure on a lot of our peers. And our thinking about how we manage our businesses is not to manage it on the razor's edge from a balance sheet capacity and credit standpoint either. So, it has to be accretive, and we are going to continue to have a very strong credit is a very important part of our strategy going forward.
Julien Dumoulin-Smith: Let me just take another last point quickly. Obviously, there has been a lot of movement in the midstream side of the sector as well. You all have been very specific about looking at regulated opportunities given the additional balance sheet latitude afforded out of that. But is midstream mentioned something that you already are evaluating a new or the credit concern there so pervasive that again that largely remains off the radar screen in terms of what you are evaluating?
Jim Robo: Yes, I mean I think on the midstream side, midstream creates two potential opportunities, but it has to be a midstream opportunity that fits within our profile. Number one, we’re very focused on greenfield. We’ve seen a lot of success on the greenfield opportunities mentioned in the mainline, main pipeline expansion opportunity that we have off of MVP. So, we're very happy with the greenfield success that we’re seeing there. And given some of the struggles that we’ve seen in the MLP sector, I do expect us to continue to maintain a cost to capital advantage whether it’s on greenfield opportunities or on third party M&A. If we’re looking at third party M&A, we’re always going to be picky at NextEra Energy based on what we look at, and we don’t want to see longer average term contract life, we’re also going to want to see higher credit quality if we look at the pipes that we’ve developed, they are very high quality pipes that we would not want to dilute, the portfolio that we currently maintain. But as you look forward, certainly with pipeline opportunities that does present chances for us perhaps at me and at in NEP as well, don’t forget that NEP enjoys a very favorable yield particularly what’s happen at the MLPs as a result of FERC decision that was handed down three or four weeks ago. And then also the higher yields that we see many of the yieldcos trade at. So for us, we have terrific opportunities to grow NEP in three ways as I mentioned, one is buying assets from energy resources, two is organically, but it's encouraging to see the cost to capital advantage that I think we really maintain in both the MLP and the yieldcos space, and you can expect us to be opportunistic and disciplined as to how we evaluate those opportunities going forward.
Julien Dumoulin-Smith: So for instance using some of the latitude created from the Canadian sales wouldn’t be created to think about that going towards the midstream opportunity at the NEP level?
Jim Robo: Well, I mean at the NEP level, we have a number of opportunities, right. From the Canadian standpoint, we have third party opportunities that we can look at. I wouldn’t isolate those MLP opportunities. We have a lot of renewable opportunities. We have other asset opportunities that we continue to look at as well. And then obviously always have the opportunity to buy assets directly from NextEra Energy Resources.
John Ketchum: Julien, let me just add to that and then we’ll going to have to move to the next question. I think it would be highly unlikely that you would see NEP enter into a transaction in the midstream space, right. I mean we like what we have, but I think it would be highly unlikely that you would see us increase our exposure through an acquisition at NEP.
Operator: Our next question comes from Steve Fleishman with Wolfe Research. Please go ahead.
Steven Fleishman: So, just on the NEP expansion of the dividend growth another year at least, you've had a point to one driver of that what would that be?
John Ketchum: Yes. I mean I think a couple of things. One is Canada, but being able to execute the Canadian transaction at 6.6% yield and be able to reinvest those proceeds in the U.S. under a more attractive tax regime at a higher yield. That's one opportunity. And then also all the continued success that you continue to see at Energy Resources, we are clearly in one of the best renewables environments that we have ever been in, and I think that's evidenced by the fact that we had one of the best quarters of originations in our history posting over a 1,000 MW.
Steve Fleishman: And then just in terms of the maybe just to talk on the overall renewable market, I mean there's just so many high level factors, the solar tariffs, the steel tariffs things like that. Just the core thesis of better economics and the likely, is that -- is the whole kind of thesis still in place in terms of hitting the targets and then economics beyond 2020?
John Ketchum: Yes, no it absolutely is, I mean first of all we managed around the solar tariff impacts, we had already brought forward our panel needs for '18 and '19 and now secured a good part of 20. We announced the JinkoSolar opportunity will be an anchor turned tenant on that opportunity buying about 22.7 GW of panels from Jinko at attractive prices because again we are the anchor tenants on that facility. So, I feel very good about the mitigation steps that we've taken on solar panels. I don't see that as being an impediment to growth for our portfolio going forward based on what we've been able to secure. When you look at steel and the wind turbine, you know wind turbine doesn't really use that much steel. I mean the steel is in the tower, the tower is all manufactured domestically. And if you look at the blades and cells, there is just not a whole lot of steel there. So not really much of a meaningful impact to wind, and then when you look at solar, the solar panel itself doesn’t contain aluminum or steel. There's some in the racking, it's a very small impact overall. And when you look at the economics of the renewable market today, we truly enjoy a competitive advantage that has not changed, the buying power that we have on the OEM side. The continued productivity that we see on reduced O&M costs which is only benefits from having the largest renewable operations in North America which is very scalable. The cost of capital advantage that we maintain, we don't have to pursue expensive construction financing. We can balance sheet finance, our wind and solar build and then term it out with access to the tax act equity market or project financing. We have not seen anything on the tax equity side that suggests any compression that would affect our build. Again, we have first call on that market, if anything we've seen tax equity prices fall, which has been a nice benefit. And then the last piece is just you benefit by having a large portfolio because you get much higher principal correlated information as the new sites that you can build upon, which really helps with top line growth going forward. And when you throw into the mix, the expertise that we developed on the battery side, I feel very good about the competitive advantages that we have on renewable.
Steve Fleishman: Okay, thank you.
Jim Robo: Just a second, the only thing that John didn't cover was volume really. I mean, that covered all the points that we are seeing and is really driving costs down, which are obviously helpful to the economics. But the volume piece I mean there is a lot of volume right in the industry right now. I mean we are pricing some very large renewable projects at this point. I don't think, I’m sure we've never seen the volume out in the market that we are seeing. And so it makes us, pretty happy about the future.
Steve Fleishman: Just a reminder when you say volume you mean large-scale like RFPs so to speak or…
Armando Pimentel: Yes, there is just a lot of RFPs out in the market, both the traditional utilities and C&I companies. And we are pricing -- we continue to price projects in 2018, but we are going out as far as 2022 at this point price and projects.
John Ketchum: Yes, and that’s a good point that Armando brought up on volume because the other point that I want to make is around capital deployment. We are deploying as much capital as we've ever deployed in this business. You guys have seen the numbers from our Annual Day 10 billion to 11 billion a year between both businesses and renewables obviously makes up a big piece of that. We have not seen change in the returns that we have previously communicated to investors and we unlevered IRRs, and when high single digits unlevered and the high teens low 20s solar couple hundred bips below on the unlevered IRR and mid teens on the ROEs, and those are numbers we have been communicating to investors for a long time. And because of all the competitive advantages that we have in the sector notwithstanding tax reform, we have been able to make up for some of the impacts on bonus depreciation and preserving those returns.
Operator: Our next question comes from Greg Gordon with Evercore. Please go ahead.
Greg Gordon: Can you just talk about the cadence of earnings at NextEra Energy resources over the course of the year? It is somewhat unusual for you guys to have a $0.17 drag in the first quarter from new developments. I look back at last couple years where the Q1 releases just stand in it. It does look like an outlier. So, is there a unique set of circumstances this year that’s driving the shape of the earnings contribution this year?
John Ketchum: Yes, one thing I’ll take you back just the January or the first quarter back in 2017. We had a large solar project our blight solar project that was originally announced CITC for various reasons. We converted that over to ITCs for tax reasons. That was captured all in the first quarter. Typically, we would spread the ITCs on a project over a year but because that project started in place in operation that all showed up in the first quarter. But certainly in '17 nothing unusual, our ITC and PTC make up was very similar to what you've seen for a number of years from energy resources but that ITC recognition event in the first quarter of 2017 just set up a bad comparison for new investment activity.
Greg Gordon: And then my second and last question because most of them have been answered is…
John Ketchum: I think one other thing I should say, not to interrupt you, is the whole year is fine though. When you look at the new investment activity for the year, it's fine.
Greg Gordon: Okay. Thank you. I appreciate that. Second question, one of the things that you guys have not done is just have your focus expands to looking at or bidding on, at least you haven’t publicly disclose any bids on offshore wind, nor have you expanded the breadth of your focus geographically outside North America. Can you comment as to why there isn’t an opportunity on a risk adjusted basis either on offshore wind or outside North America that’s attractive to you?
John Ketchum: Yes. I’ll turn that question over to Jim.
Jim Robo: So, Greg, just on offshore winds, we work very hard at offshore winds 15 years ago and worked on a project off of Long Island, get very close on it. I personally expect when I was running NextEra Energy resources at the time personally spend a lot of time on the development on that project. And fundamentally, development timelines are 5 to 10 years, permitting is uncertain, it’s a -- it is a moon shot in terms of building, in terms of finding people who actually know what they’re doing from a construction standpoint, it's terrible energy policy and that it’s really expensive and even in New England for example. In the last RFP, Massachusetts turned down several projects that we bid at $0.05 for in solar and you can do -- let me tell you offshore wind in Massachusetts -- the offshore wind RFP in Massachusetts is not going to come in at $0.05. So, it is just -- its bad energy policy and its bad business. And so, we don’t tend to do either those things, and so that’s why we’re not going to be doing offshore wind. In terms of international, this industry has honestly a pretty lousy track record in international and we have plenty of things to keep us busy here in North America we’re going to continue to be focused in primarily U.S. going forward and we’ll be able to continue to grow well just with our focus. I think our investors are not really too excited about us doing anything outside of U.S.
Operator: Next question comes from Michael Lapideswith with Goldman Sachs. Please go ahead.
Michael Lapides: Just on the FP&L, can you rehash a little bit, I may have lost it during the prepared remarks. Are you effectively kind of raising your earnings expectations for FP&L and maybe the earnings growth rate off of 2017 actuals?
John Ketchum: Well, let's back up just a minute. So, on FPL because we have taken all the surplus against Irma, we expect the depreciation expense to be higher, right, in the first quarter and in the second quarter as well, but we are replenishing our surplus balance at the same time through continue tax savings. Now, we were able to offset that higher depreciation expense at FPL through higher base revenues and reduced O&M expenses in the first quarter. And so what that has allowed us to do is probably move up to timing of when we could perhaps achieve an 11.6% ROE on that business. We had originally communicated in last call that might not be to all third quarter, looks more likely it could be late in the second quarter, early in the third quarter. So think at FPL continues to progress a bit better than expected because of the improvements that we've seen in weather and in O&M.
Michael Lapideswith: And so should we assume kind of in your going forward guidance meaning not just 2018 beyond, that you kind of stay in that 11.5%, 11.6 range in terms of on to ROEs? And then should we also assume that kind of because there's no bonus depreciation whatever your older rate based growth guidance pretax reform is, now, it's actually a higher number?
John Ketchum: Yes, so you know, a couple of things there, I mean, first of all of you the 11.6% is included in our financial expectations. For 2018, the 770, nothing changed with regard to the 770 target or with the financial expectations that we have communicated growing 6% to 8% disappointed not to be at the higher end of that off that -- off of that 770 target. All that's really happened with you saw a little bit of an increase in the regulatory capital employed growth for the first quarter at the 12.9% and you know we expect regulatory capital employed growth to be around 9% between 2017 and 2021. That's really a factor of just backing accumulated deferred taxes out of our rate base calculation, and the reason that we've done that is deferred tax liabilities which are zero cost equity are actually going to decrease over time because as you recall with tax reform, FPL and all rate regulated utilities are allowed to take full interest deductibility without being subject to the German fin cap rule of 30% of adjusted of EBITDA and then than 30% of EBIT after five years. But in exchange for that regulated utilities can no longer take immediate expensing because FPL can no longer take immediate expensing, its book cash difference on taxes decreases so its deferred tax liability goes down, which means that zero cost equity comes down. So we just went ahead and pulled the accumulated deferred tax impact line out of our rate base since its zero cost equity that resulted in a slight uptick in the regulatory capital employed growth that you can expect for FPL at the 12.9%. We have a walk on that in the Appendix.
Operator: Next question comes from Jonathan Arnold with Deutsche Bank. Please go ahead.
Jonathan Arnold: Could I just ask in the market, I know you don't identify individual counterparties, but could you give us a sense of the breakdown in the new originations by customer type at all whether utilities, munis, corporates just some flavor there?
Armando Pimentel: It's probably pretty close to a third a third a third, I mean it's not going to be exactly there, but -- I mean we had a -- we're being, we're having more success in the C&I sector, I'd say, over the last six to eight months than we had in the past. We talked about that before that while that was never going to be a really big sector for us. We needed to bring our market share up a little bit and we've done that. We're still very competitive on what I would call the IOUs, that’s a market that I think we do, not I think we do the best in, in terms of market share, compared to the other markets. But we are also seeing munis and coops that are buying. And interestingly in the comment I made, the comment I made before it's the muni coop and large IOUs that are really reaching out further in the curve than the C&I sector, right. When you are pricing the C&I sector, you are really pricing projects for this year or next year primarily. And when you are pricing projects for the larger companies, we are now seeing where pricing projects in 2022. So I’m happy with all of the sectors and how we are doing and I'm really happy that we are seeing a lot of activity beyond 2020.
Jonathan Arnold: But of the 1,000 MW, that discourse is a roughly equal breakdown?
Armando Pimentel: It's definitely not equally, but I would say it's probably a third, a third, a third, somewhere like, it's not going to be 90 and 10.
Jonathan Arnold: Yes, so that was what I was looking for Armando, thank you. And then just want to thank you for putting the portfolio slide back in, on the projected numbers, I’m just curious I noticed on the contracted renewable lines. New investment, you'll now mentioning in the foot notes, that that includes net proceeds from selling development projects. So, I was just curious, how much of the number is that as it a material amount? And is that just think you've already announced or are you anticipating further activity on that front?
John Ketchum: Yes, Jonathan, if you remember I think it was last year we announced a transaction with the larger customer which I think most of you folks know who that is, is those around 1,500 MW and out of that 1,500 MW, 500 of that was going to be PPAs and then about a 1,000 MW of that was going to be what I’d call build on transfer projects. Some of them were early-stage development right projects where we're going to flip the project prior to even ordering the turbines or doing any of the construction that was going to be done by the buyer. And then also some build on transfer, we would actually build the project and then flip it. We see that business in certain circumstances as a very good business for us and a continuing business for us, because what it can do is it can allow us to get more long-term contracted PPAs. But if you have an opportunity to sell the development rights, development rights on a project, remember we have a very large land bank, which we talked about in the past, close to 20 gig watts where we go out, we heat map the entire country. We secure land rights. We have interconnection Q positions. And we can take those pieces of property, which are actually good development sites and sell them and earn roughly 20% of the NPV that we can earn on projects that we built completely in that you know we own for its remaining useful life. And on the build on transfer, we can build the project and not of taking in the operational risk and sell it for an NPV at roughly 40% to 45% of what we could achieve, if we held the asset through the end of life. So, those are opportunities particularly larger investor-owned utilities that we will continue to evaluate and look at because they are good return, good NEP producing opportunities for the overall business. But let’s not forget, the size of the renewable pie is as big as it’s ever been as it's big as ever been because coal and nuclear are very expensive. We have a significant cost advantage over both coal and nuclear. And also an efficiency and cost advantage over lower efficient oil fire generation and gas fire generation projects. And so as we go forward, the bulk of our activity is always going to be signing PPAs and holding the assets through life, but there can’t be some opportunities also the build on transfer side which will be very attractive as well and we want more of those opportunities as it come forward.
Jonathan Arnold: But John again why you’re doing it, but I was curious if this is you can sort of calibrate how much of the 200 to 400 relates to that kind of things that's running 2018 and whether that’s the deal of the time last year you want…
John Ketchum: Yes, the reason I was given the context, Jonathan, is it’s going to move around, right. I mean because it’s something that we will look at, at an on an opportunistic basis, something it will be like what we had announced on the larger transaction last year where we were able to do the build on transfer and exchange for getting over 500 MW of long-term contracts out of that deal. But if you look at our addressable market, it’s -- I’ve always said monies, coops, small to medium size, investor-owned utilities and larger investor-owned utilities that look to do a little bit of rate base this provides an nice build on transfer opportunities for us as well, and then everything that we see on the CNI space. So, terrific growth opportunities we continue to see on the long-term contract side of the business, but sometimes we are going to be opportunistic as part of our continuing business operation looking at build on transfers. But it’s going to be -- I can’t give you a flat number of I’ll expect this amount in anyone year, it's just going to be -- it’s just going to change overtime.
Jonathan Arnold: What was the deal that you reference for last year? Was that booked last year or what’s that sort of booked when regulatory approval comes over this year perhaps?
John Ketchum: This year.
Jonathan Arnold: Because that’s part of this year’s number, but you’re not going to -- you can't give us a sense of how much?
John Ketchum: Yes, it’s a -- we’ll make further announcements going forward, but it’s not going to be a material part of our earnings for the year.
Jonathan Arnold: Okay.
Armando Pimentel: The other thing Jonathan is, we’ve sold projects every year for the last 15 years, it’s not going to be any bigger or less than it’s ever been in the last 15 years as part of NextEra Energy resources net income. It’s going to be move around, as John said, but it’s not a big deal. It’s us making sure that we capitalize on the market and its terrific return on invested capital, and it’s really good for shareholders.
Jonathan Arnold: Perfect, so it's a modest thing and not changing that much. Thank you.
Operator: This will conclude the question-and-answer session as well as today’s conference. Thank you for attending today’s presentation. You may now disconnect.